Operator: Good day, ladies and gentlemen, and welcome to the Avid Bioservices' Third Quarter Fiscal 2022 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to hand the conference over to Tim Brons of Avid's Investor Relations Group. Please go ahead.
Tim Brons: Thank you. Good afternoon, and thank you for joining us. On today's call, we have Nick Green, President and CEO; Dan Hart, Chief Financial Officer; and Matt Kwietniak, Avid's Chief Commercial Officer. Today, we will be providing an overview of Avid Bioservices' contract development and manufacturing business, including updates on corporate activities and financial results for the quarter ended January 31, 2022. After our prepared remarks, we will welcome your questions. Before we begin, I'd like to caution that comments made during this conference call today, March 8, 2022, will contain certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 concerning the current belief of the company, which involves a number of assumptions, risks and uncertainties. Actual results could differ from these statements and the company undertakes no obligation to revise or update any statement made today. I encourage you to review all of the company's filings with the Securities and Exchange Commission concerning these and other matters. Our earnings press release and this call will include discussion of certain non-GAAP information. You can find our earnings press release, including relevant non-GAAP reconciliations on our corporate website at avidbio.com. With that, I will turn the call over to Nick Green, Avid's President and CEO.
Nick Green: Thank you, Tim. And thank you to everyone who has dialed-in and to those who are participating today by our webcast. We are very pleased with the achievements of the third quarter. During the period we again recorded year-over-year growth in revenues, gross margin, net income, backlog, and adjusted EBITDA. Our business development team had an exceptional quarter signing multiple new orders that will span the range of Avid’s current capabilities. With respect to our expansions we continue to make excellent progress on our new mammalian capacity in our Myford facility, as well as with our viral vector facility in Costa Mesa of California. Matt and I will provide additional details on business development and operations for the period, pulling an overview of our third quarter financial results. And with that, I'll turn the call over to Dan.
Dan Hart: Thank you, Nick. Before I begin, in addition to the brief financial overview, I'll provide on the call today, additional details on the third quarter financial results are included in our press release issued prior to this call and in our Form 10-Q, which was filed today with the SEC. I'll now provide an overview of our financial results from operations for the quarter and nine months ended January 31, 2022. Revenues for the third quarter of fiscal 2022 were $31.5 million representing a 44% increase compared to $21.8 million recorded in the prior year period. The increase in revenues for the quarter can primarily be attributed to an increase in the mix of in-process and completed manufacturing runs and an increase in process development revenues primarily associated with services provided to new customers. For the first nine months of fiscal 2022 revenues were $88.4 million, a 29% increase compared to $68.3 million in the prior year period. The increase in revenues for the nine months of fiscal 2022 can primarily be attributed to an increase in the number and mix of in-process and completed manufacturing runs, and unutilized reserve capacity fees and process development revenues during the current period as compared to the prior year period. Gross margin for the third quarter of fiscal 2022 was 29% compared a gross margin of 28% for the third quarter of fiscal 2021. Gross margin for the first nine months of fiscal 2022 was 34% compared to 31% in the prior year period. The increases in gross margin for the quarter and the first nine months were primarily from higher manufacturing and process development revenues during the periods partially offset by increases in planned growth costs, including compensation and benefits, stock-based compensation and facility and equipment related costs. While we're pleased to report these improvements in gross margin compared to prior years, in the coming months we do expect additional increases in expense from hiring and other expansion related costs to support our growing mammalian million business, as well as our new viral vector business. And this may impact margins in future quarters. Total SG&A expenses for the third quarter of fiscal 2022 were $5.8 million, an increase of 45% compared to $4 million recorded in the third quarter of fiscal 2021. The increase in SG&A a for the quarter was primarily due to stock-based compensation and benefits, and facility-related expenses. For the first nine months of fiscal 2022, SG&A expenses were $15.3 million compared to $12 million in the prior year period. The increase in SG&A during the first nine months was primarily due to stock-based compensation, facility related expenses, advertising costs, compensation, and benefits, and legal and accounting fees. For the third quarter of fiscal 2022, we reported net income attributable to come stockholders of $2.2 million or $0.04 per basic and diluted share as compared to net income attributable to common stockholders of $800,000 or $0.01 per basic and diluted share for the third quarter of fiscal 2021. For the first nine months of fiscal 2022, the company recorded net income attributable to common stockholders of $12.1 million or $0.20 per basic and $0.19 per diluted share compared to net income attributable to common stockholders of $5.6 million or $0.10 per basic and diluted share for the fiscal 2021 period. Highlighting the strength of our third quarter financial results, we are pleased to report that we've achieved adjusted EBIDTA of $7.2 million during the period and $24.5 million for the first nine months of fiscal 2022. These are compared to adjusted EBITDA of $4 million for the third quarter and $14.7 million for the first nine months of the prior year period. Our cash and cash equivalents on January 31, 2022 were $150 million compared to our second quarter balance of $163.7 million on October 31, 2021 and prior fiscal year end balance of $169.9 million on April 30, 2021. This concludes my financial overview. I will now turn the call over to Matt for an update on business development during the quarter.
Matt Kwietniak: Thanks, Dan. The business development team had a strong performance during the third quarter, signing net new project orders totaling approximately $52 million from new and existing customers. This work will span process development, new projects with existing customers and additional orders for commercial products. As a result, we ended the third quarter with a net backlog of approximately $140 million, representing the company's largest backlog to date. We expect to recognize most of that backlog over the next 12 months. COVID-related business represents approximately 5% of our total backlog. Our team continues to see and pursue the growing demand for CDMO services, and in particular, biologics manufacturing. As we're approaching the close of fiscal 2022, to date, we have doubled our client base and client awards have already reached roughly the same as the whole of fiscal year 2021. Although this new business manifests in all areas of operations, we are particularly happy with the significant increase in process development, which we hope will grow further into long-term opportunities as these relationships develop over time. To support increasing demand and our continued growth, we have recently expanded our commercial team, and we look forward to building on that momentum the company has been building over recent years. This concludes my overview of business development activities for the quarter. I will now turn the call back over to Nick for an update on operations and other achievements during the quarter.
Nick Green: Thanks, Matt. The third quarter was the company's seventh consecutive quarter of operational profitability, and we continue recording year-over-year growth in multiple key areas, including revenues, gross margin, net income and adjusted EBITDA. And as Matt just reported, our new business signings remain reversed, and the company's backlog has never been stronger. We are also making great progress with each of our expansion projects. First, I'd like to revisit last quarter's announcement that the company is expanding its CDMO service offering into the rapidly growing cell and gene therapy market. While this is a very exciting sector of the market, it is the fundamentals that define Avid that underpin our viral vector offering. Quality is being built into the very fabric of the facility as well as the systems, procedures, and most importantly, culture. We will, of course, be integrating our knowledge of disposables into the design, and the business will retain our transparent, customer-centric and flexible approach clients have come to expect and value from Avid. In recent months, Drew Brennan, General Manager of our viral vectors business, has successfully recruited most of the key leaders for the viral vectors, covering the functional areas, such as process development, quality, operations and facilities. The process of adding additional strength and depth to the team is also well underway. Our purpose-built 53,000 square foot facility will come online in two phases. The first phase will include process development and analytical development and is expected to come online before the end of Q1 fiscal 2023. Phase 2 is expected to be complete approximately one year later and will add the GMP suites at an estimated total cost of about $75 million. Turning to our mammalian offering. During the third quarter, the company announced a significant milestone with the completion of the first phase of the two-part expansion of the Myford facility. This new downstream suite is now operational and scheduling client projects. This additional capacity was ideally timed coming online in the same quarter as our backlog has risen to $140 million, exceeding our prior capacity. Importantly, this expansion also enables Avid to continue to maintain capacity for new and existing clients and to ensure that plant availability is not a factor in our clients' time lines. Our attention now turns to Myford South, which remains on schedule and is expected to come online in less than 12 months. Our new capacity is now approximately $170 million per annum, up from the previous $120 million. Myford South will add a further $100 million at the beginning of calendar 2023 and with viral vectors a further $80 million around the middle of the next calendar year, bringing Avid's total revenue-generating capacity to more than $350 million per annum. For anyone interested in learning more about our expansions, I would encourage you to visit our website's Facilities page for videos documenting our progress. Our top line growth has been fueled by the success of our business development team. It continues to achieve robust new business signings as evidenced by our current backlog of $140 million, our highest backlog to date. The financial performance of increased revenues, gross margin, net income and adjusted EBITDA has been made possible by the effective execution of our operations, quality facilities and support functions, such as HR, finance and supply chain. These groups often go unrecognized, but without which none of this would have been possible. This concludes my prepared remarks for today, and we can now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Now first question coming from the line of Sean Dodge from RBC Capital Markets. Your line is open.
Sean Dodge: Yes. Thanks. Good afternoon. Congratulations on the continued strong progress with the new business wins. I wanted to start on the revenue guidance. You're maintaining $115 million, $117 million target for the year. But when we look at what you've generated year-to-date, this implies a sequential decline in the fourth quarter. So I think that's despite what were some annual shutdowns that took place in Q3. So maybe you could just give us a little bit of color on why revenue should be down in the fourth quarter.
Nick Green: Yes. Thanks, Sean. It's Nick speaking. I mean it's just very simply timing of batches for clients. It's – again, as you kind of highlight there, the general trend is a continuing growing backlog of $140 million, but I think we've talked about – talked to this on a number of occasions. The timing doesn't always quite perfectly work out on each quarter end, and so you just see a little fluctuation in that. So that's really it. We're obviously already utilizing the new space that we've got created. Obviously, at $120 million backlog – sorry, $120 million capacity and $140 million backlog, we desperately needed that additional space. So would have needed that additional space. Fortunately, that's online now. And I do understand that there's a general feeling that, obviously, if you've got $140 million of backlog, you've got the extra capacity. Why isn't it flowing through straight away? And it's just a timing issue really on the – as we see the quarter. Obviously, if there's any opportunity to pull anything forward into there, then we'll be taking advantage of that to the extent that we can. But that's how we see it as – and clearly, we see that continued growth that you see in the backlog.
Sean Dodge: Okay. Thanks. And then maybe on your last point there, the $140 million backlog, Myford now being open, so you have the available capacity. Can you just give us a little bit more detail on, I don't know, the fluidity or the fungibility of that backlog? How quick can you maybe pull some of the stuff forward and get the new Myford space ramped to a full kind of $12.5 million quarterly revenue run rate? Is that – I guess, can you put any kind of bookends around timing for that? Is that one quarter? Is that a couple of quarters or longer?
Nick Green: Yes. I mean we've always said typically that we expect to recognize the backlog in a period of approximately 12 months, and this one remains pretty much the same, I think it's fair to say. So in that extent, I'm doing the math in my head quickly. But if you've got a $20 million over, there must be – there's an extra $5 million already in that backlog arguably going into that additional suite. Clearly, to completely fill it, we'd be up about $170 million if that was immediate. And at this stage, we're not guiding to next year. That will be at the next quarter, and so when we'll guide forward. But I think we've alluded to it, the trajectory of the business remains strong. The growth remains in backlog is kind of indicative of the growth of the business. And so we hope to see that flowing through into that suite as we go through next year. And then first world problems would be if that was full. And even in that case, we do have the Myford South, which it seems incredible to be saying it now, but it will be on stream in less than a year. So hopefully, that's ideally timed as well.
Sean Dodge: All right. That’s helpful. Thanks and congrats again.
Nick Green: Thanks very much, Sean.
Operator: Our next question coming from the line of Jacob Johnson with Stephens. Your line is open.
Jacob Johnson: Hey, good afternoon. At the risk of asking a question that Nick said you wouldn't answer, I know you're not guiding yet to 2023. But as we think about FY 2023, just – maybe the question would be this: how should we think about the long-term growth outlook for Avid? And then maybe whether or not the COVID – some of the COVID revenues in 2022 could prove to be a tough comp? If you maybe kind of walk through those two pieces.
Nick Green: Yes. I mean, I think we've kind of articulated the growth. I mean, clearly, if we've got $140 million in the backlog and we expect to recognize most of that in the next 12 months, then I guess that puts a bottom end on the expected growth that we're going to go forward with. But we've also seen the market growing pretty well, and we expect to beat that. I think we said that as well. Again, I don't want to get into the position of having to give guidance earlier than we should do. And we're not in a position to be prepared to do that right now. But obviously, as I say, $140 million would be the low end of anything that – that's what we've already got in the backlog, unless something drastic was to happen. And hopefully, we'll see more than that going forward. And then obviously, as you go forward, we've put additional capacity in Myford South as well coming on stream next year. So I think I've also made the comment that we're not putting that capacity in because we don't expect to utilize it, maybe not always on the first day that it opens as we probably almost did this time, but certainly in the not-too-distant future. So we're certainly envisaging being able to fill that downstream suite that we've just put in, in a reasonable period of time such that we then need to go into the new suite for – into Myford South. And then ultimately, you've got your viral vectors to come on top of that. But again, that's under construction as well at the moment.
Jacob Johnson: Got it. That last point leads to my next question. Just the viral vector process development lab, I think, comes online, I think you said 1Q fiscal 2023. Can you just talk about how important that viral vector process development lab is for the business development efforts kind of ahead of the manufacturing suites coming online?
Nick Green: Yes. I mean – so first and foremost, the development and process development should be online. We think it will be towards the end of the quarter, quarter one, so probably July somewhere around that. The reality of it is, I mean, obviously, we're engaging in conversations, and I'll let Matt speak to that. But we're in great – obviously engaging with clients. But ultimately, having – and we can obviously show them the sort of facilities that we have. I mean we could to people around our existing facilities, the two won't look a lot different. So I think people will have a pretty good idea of what's going to be built and the quality of that infrastructure. But ultimately, at the end of the day, people need – they need the actual facility to be there to do business with us. And I think that will enhance the meaningful discussions a whole stage further and start to get us towards a position, hopefully, where we can start to bring business in terms of real business and real activities. Matt, I don't know whether you want to say anything about the BD efforts that are ongoing out there and what you've done in the team.
Matt Kwietniak: Yes. Sure. So just to add upon that, we did add a dedicated viral vector business development person this year. She had started in January with us. So we're already seeing a lot of interest from potential clients. We've attended a couple of shows. They're starting to get a few more that are face-to-face now. So each one that we go to, there's more and more activity. So there's a lot of interest in our value proposition. And I think it's progressing nicely, as good as I could hope at this stage with things, right? So I think we're in a good place. And as Nick has previously stated, as we get closer to opening of the facility, I think things are going to firm up nicely.
Jacob Johnson: Got it, thanks Dan, Nick and Matt.
Operator: Our next question coming from the line of Matt Hewitt with Craig-Hallum. Your line is open.
Matt Hewitt: Good afternoon and congratulations on the strong quarter. Maybe a couple of questions for me. First off, on the gross margin. I think you talked about some of the incremental cost that you faced in the third quarter. But as we look at – revenues came in much better than I think many of us had anticipated. What's the delta? Or what causes the shift from quarter-to-quarter in the gross margins? Is that purely a mix of bigger batches versus smaller batches versus the services? Maybe what creates that delta?
Dan Hart: Matt, thanks. This is Dan. You essentially just answered your own question. Yes, it's absolutely up to the mix and the scale, the duration, the process. It's kind of all of the above. As I've said in the past, gross margin of 30%, roughly, plus or minus, is highly dependent on the mix. So I think that's kind of what we've seen in the last three, four quarters.
Matt Hewitt: Got it. And then given some of the headlines here recently, and I know others have talked about it, are you seeing any inflation in your business? Is that – is it primarily in wages? Or are you seeing it maybe in some of the inputs as well? Maybe help us out there.
Nick Green: So Nick speaking again here. I mean, I think certainly in wage increases, we see inflation in terms of what it requires to get a hold of staff and new staff as we're growing, and we're certainly hiring a good number of people these days. In terms of the inputs into the process, a lot of the inputs for us are passed through. So the vast majority of the sort of raw material component is a pass-through to the clients. So whilst we do see these things coming through, they're not as big an impact on our profitability in terms of the fact that it's passed through ultimately to the end and planned.
Matt Hewitt: Got it. All right. Well thank you very much and congratulations on the strong quarter.
Nick Green: Thanks, Matt.
Operator: And our next question coming from the line of Paul Knight with KeyBanc. Your line is open.
Paul Knight: Hi Nick, on the commercial profile, on the profile of the contracts, are you starting to average longer duration, meaning are there more moving into Phase 3? I mean, are you like an average Phase 2 now? Or where is that maturity of the pipeline with the backlog increase, et cetera?
Nick Green: Yes. Really good question, Paul. I don't actually know what the average is. I've never actually done that one. It's an interesting concept. I might have a look at that one. But we do monitor obviously the sort of pipeline. I think, as I've alluded to, one of the nice things about the businesses is that we established a funnel over the last couple of years for sure that as we see projects now in preclinical Phase 1, Phase 2, Phase 3 in commercial, obviously. What we're now sort of experiencing is a broadening of that funnel. And that's what we're trying to do. And I think we've been quite pleased that kind of I think the message of our commercial pedigree is getting out there, and we are seeing some later-phase projects coming in, and we're seeing projects maturing to effect those phases. Ultimately, the Holy Grail is when clients actually jump across, and we saw that last year as well. But yes, we're pretty pleased with the development in terms of the maturity of the pipeline, but we'd always take more late phase in commercial products because those are always really good for sort of predictability and reproducibility in terms of revenue streams.
Paul Knight: Okay. And then with your experience in the industry, what type of EBITDA margin that you and Dan think Avid could operate when it's more at the mature stage of the business?
Dan Hart: Sure. Definitely at the heart of what we're aiming at here, Paul. I think I've said in the past, looking at the capacity going from $120 million to $170 million and ultimately getting to $270 million on the mammalian side and then adding in additional approximately $80 million for the viral vector. Looking at both of those different offerings, they're pretty close in the overall margin profile, some similarities, some differences. All in all, you can see that we've been running at low-to-high 20% in the last four or five quarters as far as a percentage of EBITDA. I would imagine as we reach a full capacity that number would be starting with a 3%, low/mid-30s.
Paul Knight: Great. Thank you.
Operator: Thank you. At this time, I would like to hand the call back over to Nick Green for any closing remarks.
Nick Green: Thank you, operator, and thank you to everyone participating on today's call. In closing, I'd like to thank Avid's customers, partners and investors for their ongoing collaboration. And as always, I'd like to acknowledge Avid's extraordinary employees who together are driving the company's success. Thank you again for participating today and for your continued support of Avid Bioservices.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.